Operator: Ladies and gentlemen, thank you for joining us today. My name is Faith, and I will be your conference operator for this session. Welcome to Grab's Second Quarter 2025 Earnings Results Call. [Operator Instructions] I will turn it over to Douglas Eu to start the call.
Douglas Eu: Good day, everyone, and welcome to Grab's second quarter earnings call. I'm Douglas Eu, Director, Investor Relations and Strategic Finance at Grab. And joining me today are Anthony Tan, Chief Executive Officer; Alex Hungate, President and Chief Operating Officer; and Peter Oey, Chief Financial Officer. During this call, we will be making forward-looking statements about future events, including our future business and financial performance. These statements are based on our current beliefs and expectations. Actual results could differ materially due to a number of risks and uncertainties as described on this earnings call, in the earnings release and in our Form 20-F and other filings with the SEC. We do not undertake any duty to update any forward-looking statements. We will also be discussing non-IFRS financial measures on this call. These measures are supplement but do not replace IFRS financial measures. Please refer to the earnings materials for reconciliation of non-IFRS to IFRS financial measures. For more information, please refer to our earnings press release, remarks and supplemental presentation available on our IR website. And with that, I will turn the call over to Anthony to deliver his opening remarks before we open it up for questions.
Ping Yeow Tan: Thanks, Doug. Grab delivered yet another strong set of results in the second quarter with group MTUs scaling to another all-time high. Meanwhile, on-demand GMV accelerated to 21% year-on-year in U.S. dollars growth or 18% year-on-year growth on a constant currency basis. These top line trends, combined with our continued cost discipline, delivered our 14th consecutive quarter of adjusted EBITDA growth, while trailing 12 months adjusted free cash flow expanded to $229 million. This performance was powered by product and tech-led innovations, which drive our ecosystem flywheel faster and enable us to outserve everyday entrepreneurs across Southeast Asia. Growth continues to be demand-led with on-demand transactions outpacing GMV as we increase our focus on rolling out more affordable services and expanding the addressable market with more price-sensitive users. We also continued to scale up our financial services business prudently with total loan disbursals across GrabFin and our digital banks reaching close to $3 billion on an annualized run rate basis in the second quarter. At the same time, credit risks remain within our risk appetites. Looking ahead to the second half, Grab remains well positioned with our investment solidifying our resilience in the face of potential macroeconomic uncertainties. As such, we expect to sustain this growth momentum to accelerate on-demand GMV growth rates relative to 2024. We will also maintain discipline on costs to drive profitable growth and free cash flow generation. With that, I now open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Pang Vittayaamnuaykoon from Goldman Sachs.
Pang Vittayaamnuaykoon: Congratulations on a good quarter and strong growth accelerations. Two questions from me. Number one, with the uncertainty in the macro environment and what's happening in Thailand and Indonesia as well as Trump tariffs being implemented and negotiated, how are you thinking about the outlook for Grab and for the countries you operate in? Are you seeing any weakness in consumption right now? That's number one. Number two, in Mobility, number of transaction was 23% with significantly outpacing growth in MTUs. What strategies have you successfully implemented to drive this increase in frequency of usage? How should we anticipate this trend evolving in the future?
Ping Yeow Tan: Thanks, Pang. Great question. And you're right, it is top of mind, the macro environment, for all of us. Good news, Pang, is we have been leaning into affordability since 2023 with our first initial product launches of affordability like Saver delivery, Saver transport rides, which now has become even more critical with the ongoing uncertainty in a global macro landscape. Nonetheless, we believe we are very well positioned on this front, Pang, because of our product-led investments that continues to solidify our resilience. As you saw from the slides we shared, it drove the ecosystem flywheel faster, and it really positions us as a countercyclical company. Over the past 2 years, we have enhanced affordability. We've enhanced reliability of our services, and that further deepens user engagement and retention and brings new users to the Grab ecosystem. You saw this with the all-time high of MTUs. You saw this with another quarter of profitable growth and how our growth has reaccelerated to 21% year-on-year. Now moving forward, we'll continue our track record of working very closely with government and regulators to ensure that our partners and users can navigate this period of uncertainty well. For example, in Indonesia, we participated in the pilot phase of Makan Bergizi Gratis, which is the free nutritious meal program, very important for the Indonesian government. As part of this initiative, we delivered nutritious meals to over 1,500 students across 7 elementary schools across many parts in Indonesia, and we collaborated with 9 local MSME merchants in these areas to provide healthier meals, but also fostered greater brand loyalty among our student customer segment. You talked about Thailand as well. Thailand, we are actively working with the government to support the tourism sector. That's very important, especially during this time for Thailand. We established actually a private-public tourism task force to contribute to the grand tourism year 2025. And this builds on the existing partnership we've had with tourism authority and transport authority of -- and transport airports authority in Thailand. So looking ahead, we are confident that our strategy of focusing on using partners with a very user- and partner-centric lens for product development will continue to drive sustainable and profitable growth for the business. And this you will continue to see, and that's why we are confident to say that our expectations for on-demand GMV growth in 2025 will accelerate from that of 2024 levels and our adjusted EBITDA in the second half being substantially stronger than that of the first half.
Alexander Charles Hungate: Okay. Thanks, Anthony. Pang, let me take the second part of the question about Mobility. Because we know there's untapped growth potential in Southeast Asia, we did choose to reinvest the benefits of our scale economies to drive broader accessibility and increase platform usage this half. As a result, as you said, we saw this growth of 23% year-on-year in Mobility transactions, which we think is a good return for our Mobility flywheel because it attracts new user cohorts and improves retention. And that, of course, creates more demand for partners so they can improve their utilization and driver earnings. So that supports better reliability and lower prices, and that, in turn, attracts even more users. So it's a great flywheel impact. Overall Mobility MTUs grew 16%, and GMV still continued to grow strongly at 19% year-on-year, 16% constant currency. And of course, in our case, because we are multi-vertical as an ecosystem, the benefits of having new users come in extends to the broader Grab ecosystem as then we can cross-sell into Deliveries and Financial Services. So it's a broader benefit for us than it would be for a single vertical player. There's not been much trade-off on profitability. If you look at the numbers, we still grew EBITDA profitability on an absolute dollar basis year-on-year and quarter-on-quarter. And we're still growing our higher-margin high-value rides, which now have reached double-digit as a percentage of Mobility GMV this quarter. So that helps us to balance off on a margin basis. So the margin this quarter was 8.7% for Mobility, very close already to our steady-state margin target of 9% plus. So we think this is a very sustainable strategy going forward, and we'll continue to lean into growth.
Operator: Our next question comes from Alicia Yap of Citigroup.
Alicia Yap: Congrats on the solid quarter. Two questions. First, on delivery business. Just wondering, given the growth of the GrabFood for One, the Shared Saver, all will result in potentially lower blended AOV. Will this volume have lower margins? So if excluding the contribution from the advertising revenue, can you walk us through how you balance between the faster volume driver of the GMV growth versus the lower ASP and the margin trend? Second questions, with the launch of your autonomous vehicle shuttles in Singapore recently, how soon do you think a commercial rollout of the AV vehicles in your market across the Southeast Asia will take? Any updates also on the partnership front to boost your innovations in this space?
Alexander Charles Hungate: Alicia, this is Alex again. Let me take the question on Deliveries growth and margin. We really believe that ASEAN has still so much upside in digital consumption. So on the Deliveries side, we also decided to invest into product-led growth. Deliveries GMV accelerated to 19% year-on-year on a constant currency basis because of these product-led initiatives. So there was user acquisition from those affordable products that you mentioned. It's been strong. But we've also seen strong growth from what we think of as viral products such as Dine Out, Family Accounts, Group Orders. And those are proving very effective and attracting new users through network effects and shared experiences. So we've got a combination of those viral products and the affordable products bringing in new MTUs. So the GMV from all of these new product initiatives that we announced at GrabX earlier this year is growing 3x faster than the existing products and now accounts in total for 1/3 of Deliveries GMV. In addition, as you well know, we've got GrabUnlimited, which is now the largest paid loyalty program in Southeast Asia, driving almost 5x higher spend and 3x higher order frequency for its members. And we've reached new record highs in paid subscriber count there. So that's also a big impact on our -- the health of our ecosystem. And then finally, I'd just like to mention one of the other products that was launched at GrabX, which is [ GrabMore ], which enables users of food to bundle food and grocery orders into a single transaction. So that's helped us with -- drive higher growth rates for GrabMart this quarter than for our core business, which is another quarter where that's been the impact. So there's lots of upside on GrabMart also. So overall, you mentioned Saver. It's contributed 34% of Deliveries transactions in Q2. That's versus a number of 28% for prior year for comparison. So it has grown in terms of number of transactions. However, if you look year-on-year, our segment margins have continued to expand 34 basis points, in fact, from 1.5 last year to 1.8 this quarter. So we are able to still improve margin despite the fact that the affordable products are accounting for a higher percentage of transactions. So what I would say is that margins will move from quarter-to-quarter. But overall, we still managed to grow absolute EBITDA in this segment by 50% year-on-year. Medium term, I think we can expect the margins as we scale the business to reduce the delivery cost and improve monetization, particularly through the growth of advertising, which this quarter reached 1.7% GMV penetration. So that's continued to show a deeper penetration there. And that will improve with scale in terms of its attractiveness to our advertising clients. So we still believe that we will reach margins of 4% plus in steady state. So there's no change in our longer-term outlook. Thanks.
Ping Yeow Tan: On the AV question, Alicia, thank you so much, and you're absolutely right, very, very top of mind for us. In fact, we are leaning heavily into the AV opportunity or what we think of as the driverless AV opportunity across Southeast Asia. We are in a prime position to support the AV transition over the next few years. We have a very significant role to play via a hybrid fleet, hybrid meaning both driverless and drivers of fleet. When you think about our right to win, we think about, number one, we have, and continue to build, strong relationships with AV players as well as OEMs across the world. Second, our scale, our network across the region, that allows us to provide the best-in- class utilization rates, which is very important, as you imagine, because these cars, you have to make sure utilization rates are high to make the unit economics work. Third, the brand trust and a long track record of safety and of working constructively with regulators and governments to really continue to ensure community safety. Passenger and driver safety is one that people really care about. And lastly, as you know, Alicia, we also built our own mapping tech with very rich local data sets that provides millions of real-world driving hours, real-world user pickup, drop-off points, patterns, traffic flows, heat maps across highly complex Southeast Asian- specific urban environments. So that really positions us well. We also have several pilots we planned. At the moment -- earlier this month, we announced A2Z, partnership with a Korean full- stack AV manufacturer. Now that culminated in the announcement of the first autonomous electric shuttle bus in Singapore. Now in Philippines, we are working with regulators closely and property developer Megaworld to launch a pilot study on drone-powered commercial delivery. So really, I just want to thank A2Z, Megaworld, Kevin and all the regulators across the region to work closely with us to roll out and think through the implications and how best to do it in a safe, affordable way. So now as we think about the communities we serve, we are always focused on safe, affordable, convenient services for all our customers. So looking ahead, what are we going to do? One, you can expect to hear new partnerships with more global AI and driverless AV partners. We'll continue to explore potential high-value, new job opportunities that this sector could create for the communities we serve. Expect to hear more pilots to understand the operational conditions for different driverless vehicle services in the region. And of course, we want to continuously work with regulators to improve transport connectivity using and leveraging the innovative technologies together. So all in all, we are leaning in, in the AV path moving forward.
Operator: Your next question comes from the line of Divya Gangahar from Morgan Stanley.
Divya Gangahar Kothiyal: So my first question is just getting some more details on competition by market and segment. Specifically, if you can comment maybe on the Mobility GMV growth was a bit slower in second quarter versus first quarter, and the trip fares were down about 4%. Which market specifically are we seeing some slowdown in? And if you can help us contextualize the trip fares being down 4% and how to think of it going forward? And also Vietnam, specifically, if you have any comments on a new player entering food delivery, if you're seeing any more competition there. So that's my first question. And my second question is just on capital allocation, especially after the raise of the $1.5 billion CD. I mean beyond the obvious M&A that has been on and off for a long time, what are the other segments that this capital can be deployed into? Do you have any updated thoughts on buybacks?
Alexander Charles Hungate: Divya, Alex here. Thanks for your questions. Let me take the first part. We have chosen to lean into reinvesting the scale economies from our ecosystem back into volume. So the AOV drop of 4% in Mobility is something that we have decided upon ourselves rather than being driven by competitive activity. We think the returns have been good. So a transaction growth of 23% means that we're creating future growth pipeline. And the reason we've taken this stance is because of the potential in Southeast Asia. A lot of the growth has come from new users and higher frequency in Tier 1 cities. And we are also growing in some of the smaller cities using the auto adaptive technologies that we've developed, which means that we can manage small cities without having team members present in those cities. So that gives us lots of cost efficiencies. So our strategy is to continue to drive that growth, the top line growth. The margin trade-offs, as I mentioned earlier, are not considerable. We think that it's a good trade-off to make, and therefore, it's sustainable. Market by market, always -- there's always competitors in every market and the market dynamics for different competitors go up and down. But I think, overall, we are about 3x -- 3.5x larger than our next largest competitor in the region. And that means that our scale economies are quite considerable. And that's why we've been reinvesting in AI and other capabilities, which mean that our efficiencies and the savings we can pass on to consumers are much higher than those of smaller competitors. So we think this is a sustainable competitive strategy, no matter whether from, time to time, there might be surges in competitive activity in particular markets.
Peter Oey: Divya, on your capital allocation question, our stance has always been consistent. We take a very prudent approach when it comes to capital allocation. So what do we look at? We always want to create, generate shareholder value on a long-term basis. And if you look at where we've been deploying our capital, it's really fueling the growth of our business through organic growth. And that's going to be P0 for us. It's going to be high top of the list for us, and you're seeing that playing out in this result, which is fueled by the previous deployment of capital towards all the product innovations and the tech innovation that we've been doing. And that will continue. That will continue to fuel the growth that we're going to see in our business as we move forward. Now with that being said, with M&A, we're always on the lookout. With a strong balance sheet and with the recent capital raise, it does give us that strategic flexibility. And that flexibility is important because M&A comes and goes. So we'll be continuing to scout the market in terms of what's available. But at the same time also, the bar is just so much higher when you compare it to the organic growth that we continue to prioritize over our business today. Now in terms of buyback, we did complete the $500 million buyback. It was done concurrently with the recent convertible note that we raised. There's no plans for new buyback programs. That's something that we'll continue to explore with our Board. But in this quarterly earnings, there's nothing for us to announce. Again, it's all about, for us, prioritizing the right sort of capital management in our business. And when we have a new buyback, we'll definitely share it with all of you.
Operator: Your next question comes from the line of Piyush Choudhary from HSBC.
Piyush Choudhary: Congrats on good set of results. Two questions, please. Firstly, on Deliveries segment, what's the outlook of consumer incentive spending as it remains at around 7% of GMV in 2Q? Alex, you talked about the midterm margin outlook, but should we expect the pace of margin expansion in Deliveries segment to be slower going forward due to these new product launches and a focus on driving user engagement? Second question on Mobility. If you can share what's the contribution mix between premium rides and affordable rides. How has that proportion changed over the last 1 year because that dynamics have an impact on the margins?
Alexander Charles Hungate: Thanks, Piyush. So first one on the Deliveries product investment, yes, we'll continue to see opportunities there for further product investment. I can tell you that in terms of the medium term, for the next 2 quarters of this year for Deliveries, we do expect the margin to improve from the current quarter. So we see sequential improvement in margin for the rest of this year. So hopefully, that's helpful for you all with your models. Ads penetration will obviously contribute to that. Typically, third and fourth quarter are big quarters for advertising. And as you can see from our results, both the self-serve ad channel penetration and the sales force-sold directly to enterprise larger clients, both continue to grow. And so we're very bullish about what Grab has to offer as a retail media network to advertisers given our first-party data and the closed-loop effectiveness that we can show to those advertisers. We are committed to the 4% steady-state margins in the longer run as well. So just confirming all of that. Moving to Mobility, the mix between Saver and Premium. Saver now is about 1/3 of Mobility transaction. So we're continuing to scale that, particularly in the lower-tier cities, but we're still seeing growth in numbers of users, attracting new users into Tier 1 cities and higher frequency, both in Tier 1 and in the smaller cities. So we're consciously focusing on affordability so that we can continue to drive that frequency and growth of new users into the ecosystem. On the Premium end, we're also continuing to grow at the same time. So it's not just the affordability segment which is growing. Premium now is in double digits as a percentage of transactions. And we expect that to continue to grow with the Advance Booking and other features that we've been launching recently. We've done a lot of work with airports around the region so that we can get better access into airports. And therefore, we can balance that margin between the affordable products and the high-value products for the less price-sensitive users. So I can reiterate that we are committed to the 9% steady-state Mobility margins, which, as you're probably aware, would remain industry-leading when you look across the world. Thanks, Piyush.
Operator: Your next question comes from Jiong Shao of Barclays.
Jiong Shao: First, I have a follow-up around autonomous driving or more like robotaxi. I know in your prepared remarks and also in your comments earlier, you talked about the trial for the shuttle bus in Singapore. Given what Uber is doing in robotaxi around the world, what DiDi is doing in China, I was wondering if you can comment about what's your plan for robotaxi in the region. My question -- the first is around the regional cost. I was hoping Peter perhaps can comment about your expectations for the regional cost for the second half of this year. And I have another question around GrabMart. Could you talk about sort of longer term, how do you anticipate the TAM for GrabMart vis-à-vis sort of more traditional food delivery? And can we expect the long-term margins for the Mart business to be close to the above 4% target as well?
Ping Yeow Tan: Thanks, Jiong. So I'll take the AV one. And well, good news is [indiscernible]. So with Uber, we have a good sense of what's happening. And you're right, we see also a lot of AV action taking place also in China. And we've actually seen, experienced -- gone there multiple times to experience the actual robotaxis on the streets. Now as I talked about the partnerships, we -- I have nothing to announce today, but we can assure you that we are really looking very seriously at how to expand pilots across the region. We are talking to a number of partners, and we will announce more when we are ready. And of course, all this is done very closely with the government. But you can foresee in the next -- in a matter of months, you'll hear more announcements on this.
Peter Oey: Jiong, on your question around regional corporate costs. So what you saw in the second quarter in the increase, which is roughly about a 9.5% Q-on-Q increase in regional corporate cost, is pretty much on tandem with the strong on-demand GMV growth momentum in the second quarter. If you look at the on-demand GMV, it was growing at 21% on actual currency, but our regional corporate cost was growing at 9.5%. So it's actually growing much slower than our top line business growth overall, which is what we're actually driving. We're driving operating leverage in the business. And a lot of the cost that's tied to the increase Q-on-Q is pretty much variable costs. We're looking at more cloud costs, software costs, as you would expect from just the volume of growth that we're driving the transactions in our business. Our transaction was up 23% on a year-over-year basis. Now as we think about moving forward, overall, regional corporate costs will probably be somewhere around that 10% to 12% increase on a year-over-year basis. What's important though is driving operating leverage. And I would expect that somewhere around 100 to about 150 basis points of margin improvement in terms of regional corporate costs as a percentage of revenue, which is really critical as we drive that cost efficiency throughout the business, both on variable as well as on fixed costs. So hopefully, that gives you a bit of color on corporate costs. And I'll turn it over to Alex on Mart.
Alexander Charles Hungate: Thanks, Peter, and thanks, Jiong, for the question. I'm glad you've asked us about GrabMart because this is an area where the TAM is very large potentially, much larger than the food delivery market in the longer run. Online groceries is still barely penetrated in Southeast Asia, probably less than 5% penetrated. And it's a context where many of our countries in Southeast Asia have a very low penetration also of the modern retail offline business. So the user experience is not great. So the chance to leapfrog that with the digital Mart experience is strong. Mart is only currently less than 10% of our Deliveries business but already growing faster than food deliveries. So it's about 1.5x in terms of growth rate. And the MTUs for Mart are hitting all-time highs this quarter. So it's a very active and growing user base now, shows the potential of the digital experience. We're taking a partnership-first approach. Yes, as you know, we own Jaya Grocer and we just purchased Everrise in Malaysia. So we have an offline/online experience there, which is probably the leading edge of the customer experience that we're developing with the O2O opportunity. That's working well. We can extend that to partnerships in other markets. And the goal there is to make sure we can replicate the very best customer experience that we can. And already in Jaya, we are heading towards 15% online penetration of GMV, which is great and shows what can be done. That would be -- that's an industry-leading number. So it's obviously attractive for partners in other markets to work with us to try to get to those types of levels of online penetration. In terms of margins, currently, the Mart margin is embedded within our overall expectations for the Deliveries margin, which, as we talked about earlier, is 4% plus in steady state. There's a huge ads opportunity for Mart. Many of the FMCGs in Southeast Asia find it hard to get strong data on their sales because of multi-tier distribution of the rather traditional retail environment here. So we are able to give them first-party data, which they find very valuable. So as we work with the FMCGs with our digital-first approach for Mart, then, of course, that's something very attractive from an ads perspective as well. So the penetration of 1.7% for food deliveries or for ads is something that we think we can improve upon, particularly for Mart. Thanks, Jiong.
Operator: Your next question is from Mark Mahaney from Evercore ISI.
Mark Stephen F. Mahaney: I just wanted to ask about the advertising revenue. You got that $236 million run rate, I think, in that 45% growth. Just talk about the sustainability of that growth, and then think about or talk about the long-term ceiling or marker for where advertising as a percentage of GMV could go.
Alexander Charles Hungate: Thanks, Mark. Yes. You can see that the advertising business has doubled a couple of times over the last couple of years. So you can see that we're growing super fast. There's an exponential impact in here that I should explain. One is the number of advertisers that are actually trying Grab as a retail media network for the first time continues to grow. We're still at less than 50% penetration of our merchant base in terms of those that have tried us. So there's still upside there in terms of expanding the penetration of our merchant base. And because their return on advertising sales is averaging 8x, we know that it's a great product for them, and it can help them grow. So as the retention of those that do try us is very high, and therefore, we're getting that exponential impact of existing advertisers spending more while we grow the penetration at the same time. So the penetration year-on-year grew 42%. So that's the first part of the exponential. And then those existing advertisers on the self-serve platform also increased 31%. So really good opportunity for us there. Advertisers, as you know, want reach. So the bigger we get, the more attractive we are on a cost per point basis as well. So the pricing on the network gets larger, gets higher as we get larger simply because they -- all they care about is the returns ultimately to their investment. So this is why you're seeing those kinds of exponential growth rates on advertising. If you look across the world, penetration of advertising to GMV in various markets can get much higher than where we are today. We're seeing examples of 2% penetration, 3% penetration, even 4% penetration, particularly when you get into the Mart type of ecosystems. So I think depending on our different verticals, including mobility, by the way, where we've now introduced ads, we see opportunity to increase advertising penetration much higher than the current penetration that we have of 1.7%.
Operator: Your next question is from Ranjan Sharma at JPMorgan.
Ranjan Sharma: My first question -- I know a lot has been said about Deliveries and the margins, but if I can get a bit deeper into it. If I remove the ad revenues, then the delivery EBITDA ex ads seems to be a bit softer. Now I appreciate that you're doing a lot of growth investments and you're seeing tremendous expansion in your monthly transacting users and new services. But is there a point where we should think that the underlying Deliveries EBITDA ex ads could start inflecting upwards? Or do you see the focus on the near term or the midterm as well will be on growing the business rather than monetizing it to its potential? Second, on fintech, since no one has asked, let me ask. Tremendous growth in the loan portfolio. If you can help understand where you're making these loans?
Alexander Charles Hungate: Thanks, Ranjan. Yes. Let me take both of those. On the Deliveries, we do see considerable upside in penetration and volume in Southeast Asia in the medium term. We think that the current strategy leaning into growth and reinvesting the economies we're getting from our scale is sustainable. We haven't had to make considerable trade-offs in margin. We don't see the advertising upside as separate from the margin of the business. We see them as a combined opportunity. And as I mentioned in the response to Mark on the last question, the return to advertisers is what's key. So as we get more scale, the returns to them improve, and therefore, the value of our advertising inventory increases. So scale itself for the Deliveries segment, including Mart, is an important driver of value for advertisers. And therefore, we don't separate it from the Deliveries margin. So we'll continue with this strategy. As you can see, it's created an acceleration of our Deliveries growth. And there's -- and Southeast Asia is a region where there's still lots of untapped potential. So we want to drive further into that. Moving to your second question on Financial Services. It's the first time that we've given an outlook for the loan book size. So I hope that's helpful for you all. So we've said that by the end of the year, we'll hit $1 billion. We're at about $700 million in the end of quarter 2. And the reason why we're very confident that we can exceed $1 billion is because of the very strong product lineup we have, both for GrabFin, our fintech arm, and for the digital banks. So for the first time, we've got personal lending products available for all 3 banks. We've got BNPL available through GrabFin in multiple markets. And as of the middle of this year, so going forward for the full second half, we have the supply chain financing capability that we got by acquiring the Validus business in Singapore, which has now been rebranded GXS Capital through GXS Bank. So we've been financing SMEs through the supply chain, in other words, with a well-managed risk profile because based on the risk of larger corporate offtakers. And it's a very good fit with our ecosystem. So that's a capability that not only will we grow in Singapore, but we'll start to expand across the region as well. If you look at the numbers carefully, the $1 billion represents an acceleration half-on-half. So the half-on-half growth was 32% in the first half and $1 billion would see us reaching 41% in the second half. And that's because of this product lineup that I mentioned earlier and also our increasing faith in the system data advantage that we have for underwriting and distribution. So our credit models are performing well. The performance -- the Gini coefficients that we're managing to generate are significantly higher than they were when we first started this journey. And we're getting more and more capabilities there as we ingest more data fields from across our ecosystem. I can reiterate also the breakeven target. So for Financial Services overall, we expect to break even in the second half of 2026. And for the 3 banks, we expect to break even in the fourth quarter of 2026. So our approach overall is high growth. This is still the fastest- growing business that we have. We remain focused on balancing risk management as well as scale as we grow this business.
Peter Oey: Ranjan, also just to add on the Deliveries margin. If you look at some of the countries that we operate in today, a majority of those countries are already in the zip code of 4% to 5% Deliveries margin, and it's been very consistent throughout many quarters now. So we have some work to do in terms of closing the gap on some of the other countries, which we're very focused on. Also at the same time, we're balancing the underpenetration of Deliveries, which Alex spoke about, which we feel that we're balancing with also fueling that growth on the top line as we bring new users into the platform. And also with advertising scaling up that Alex also spoke about, we feel that we're very confident we can get to a margin improvement in Deliveries, but also we're not going to sacrifice the growth that we're seeing at the same time also. It's a balancing act. We've got some countries already north of 4%, but we're also balancing us overall as an ecosystem, as a business, a deliveries business. We also want to make sure we're also fueling that 20% growth rate that we're seeing across Deliveries. All right. So we're going to wrap up the call here. So thank you very much, everyone, for dialing in. Anthony, Alex and I really want to express our appreciation to all our drivers and to all our merchant partners and all our customers and users and shareholders for really just continuing to trust in Grab. Thank you also to the Grab team for a great quarter and looking forward to delivering a strong second half. Together with our IR team, Doug, Ken and I will be on the road over the next few weeks. We'll be attending various IR conferences across U.S., Hong Kong and Singapore in the coming weeks. So if you wish to meet up, please reach out to any of us here. We would love to see you in person and catch up then. Thank you for this morning. And for those dialing in, in a different time zone, we appreciate it, and we'll talk over the next few weeks. Thank you, everyone.
Operator: Thank you. This concludes Grab's Second Quarter 2025 Earnings Conference Call. Thank you for your participation. You may now disconnect.